Operator: Good morning, everyone, and welcome to the MYR Group Third Quarter 2013 Earnings Results Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Philip Kranz of Dresner. Please go ahead, sir.
Philip A. Kranz: Thank you, and good morning, everyone. I'd like to welcome you to the MYR Group conference call to discuss the company's third quarter results for 2013, which were reported yesterday. Joining us on today's call are Bill Koertner, President and Chief Executive Officer; Paul Evans, Vice President and Chief Financial Officer; and Rick Swartz, Senior Vice President and Chief Operating Officer. If you did not receive yesterday's press release, please contact Dresner Corporate Services at (312) 726-3600, and we will send you a copy, or you can go to www.myrgroup.com, where a copy is available under the Investor Relations tab. Also a replay of today's call will be available until Wednesday, November 13, 2013, at 11:59 p.m. Eastern Time, by dialing (855) 859-2056 or (404) 537-3406 and entering conference ID 86063300. Before we begin, I want to remind you, this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date, and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's Annual Report on Form 10-K for the year ended December 31, 2012, the company's quarterly report on Form 10-Q for the third quarter and first 9 months of 2013 and in yesterday's press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in yesterday's press release. With that said, let me turn the call over to Bill Koertner.
William A. Koertner: Good morning, everyone. Welcome to our third quarter 2013 conference call to discuss financial and operational results. I'll start by providing a brief summary of the third quarter results, then turn the call over to Paul Evans, our CFO, for a more detailed financial review. Following Paul's discussion, Rick Swartz, our Chief Operating Officer, will provide an overall industry outlook and discuss what we see as MYR's opportunities. I will then conclude with some closing remarks and open the call up for your comments and questions. We experienced another solid quarter of financial performance resulting in higher gross margin and cash generation. We recorded a legal reserve of $2.3 million in connection with ongoing litigation during the quarter. Excluding the effects of this legal reserve, net income and earnings per share would have exceeded the comparable quarter last year by approximately $1 million, or $0.04 a share. Our results benefited from solid execution in the field and effective contract administration. Revenues were $232.9 million for the quarter, which was lower compared to the same period last year, largely due to reductions in subcontractor and material costs from several large projects and a $7.9 million decrease in storm work compared to the same quarter last year. However, gross margins for the third quarter of 2013 increased to 13.9% compared to 11.8% for the third quarter of 2012. This represents 210 basis points. The increase in gross margin was largely due to better project execution, higher equipment utilization and the underlying mix of contract cost components, which included less material and subcontractor cost and more of the company's labor and equipment cost on a relative basis. Excluding the effects of the legal reserve of $2.3 million, EBITDA for the third quarter of 2013 increased to $22.7 million compared to $20.7 million for the third quarter of 2012, an increase of nearly 10%. Looking at 2013 in the 9 month period, gross margin was 14% compared to 11.4% in the same period in 2012. Again, excluding the effects of the legal reserve, 9 month 2013 EBITDA was $63.6 million, and earnings per share were $1.21 compared to EBITDA of $58.4 million and EPS of $1.15 in the same period of 2012. Paul will discuss our financial results in more detail in a little bit. Looking forward, we are optimistic about our long-term growth prospects in both our T&D and C&I markets. We're exploring some new regional markets where we have had limited or no presence historically. If we expand into these markets, it could come through organic means or through acquisitions or asset purchases like the one we completed in Alaska during the quarter. Reflective of our favorable long-term outlook for our markets, we continue to invest in equipment and tooling to improve our competitive position and grow our businesses. To support our substantial investment and equipment, we recently opened a new fleet manufacturing and maintenance facility. Our experienced management team, skilled workforce, historic -- history of successfully completing projects, extensive fleet of specialty equipment and our strong balance sheet provides MYR with a strong resume and the flexibility to further capitalize on future growth opportunities. Now Paul will provide details on the third quarter and the first 9 months 2013.
Paul J. Evans: Thank you, Bill, and good morning, everyone. Yesterday, we announced our 2013 third quarter and first 9 months results. Our revenues for the third quarter 2013 were $232.9 million, which represented a $17.7 million decrease compared to the same period in 2012. On a percentage basis, 2013 third quarter revenues decreased 7.1% over the 2012 third quarter. To put this decrease in perspective, third quarter 2012 revenues increased $40.1 million or 19% over third quarter 2011 revenues. Additionally, $7.9 million of the reduction in revenue in 2013 was attributed to a decrease in storm work as compared to the same quarter last year. Material and subcontractor cost comprised approximately 31% of total contract cost in the third quarter 2013 compared to approximately 45% in the third quarter of 2012. In addition to give you a full 12-month picture of material and subcontractor costs, our fourth quarter 2012 material and subcontractor cost was approximately 37% of contract cost. We expect fourth quarter 2013 material and subcontractor cost to be more in line with the third quarter 2013 material and subcontractor costs. The amount of material and subcontractor costs as a percentage of overall project costs continues to be highly variable from project to project depending on the client and the project requirements. From a segment standpoint and compared to the 2012 third quarter, T&D revenues decreased $17.1 million to $187.2 million and C&I revenues decreased $600,000 to $45.7 million. Focusing on the T&D segment, revenues were $161.9 million for Transmission and $25.3 million for Distribution in the third quarter of 2013. This compares to $170.5 million for Transmission and $33.8 million for Distribution for the third quarter of 2012. Transmission revenues decreased in the third quarter of 2013 as compared to the third quarter of 2012, even though we worked more man hours in the third quarter of 2013 than in the same period last year. On a few large transmission projects, there was substantially less material being installed and less subcontractor work being done in the third quarter of 2013 than in the same quarter last year, which contributed to a decrease in revenue for the quarter. Material and subcontractor costs in our T&D segment comprised approximately 27% of the total contract cost in the third quarter of 2013 compared to approximately 45% in the third quarter of 2012. The material and subcontractor costs in our T&D segment in the fourth quarter of 2012 were approximately 33% of contract costs. In the third quarter of 2013, revenues from our Transmission business were 69.5% of total revenues compared to 68.1% in the third quarter of 2012. C&I segment revenues decreased by 1.2% to $45.7 million in the third quarter of 2013 from the third quarter of 2012, primarily due to a decrease in revenue on projects with contract values greater than $10 million. Material and subcontractor costs in our C&I segment comprised approximately 46% of the total contract cost in the third quarter of 2013 compared to approximately 45% in the third quarter of 2012. In addition, material and subcontractor costs in our C&I segment in the fourth quarter of 2012 represented approximately 57% of contract costs. Our overall a gross profit in the third quarter of 2013 increased to $32.5 million from $29.6 million in the third quarter of 2012. And our gross margin increased to 13.9% versus 11.8% in the third quarter 2012. The increase in gross margin was largely due to better project execution, higher equipment utilization and the underlying mix of contract cost components, which included less material and subcontractor costs and more of the company's labor and equipment costs on a relative basis. Approximately 60 basis points of the increase in gross margin was due to improved contract margins on several large transmission projects as a result of increased productivity levels, cost efficiencies, additional work and effective contract management. For the fourth quarter of 2013, we still expect overall gross margins to be in the range of 13% to 14%. Third quarter 2013 SG&A expenses were $19.6 million compared to $15.6 million for the third quarter of 2012. SG&A expenses for the quarter included a legal reserve of $2.3 million pertaining to litigation regarding a 2009 traffic accident in Florida involving one of our subcontractors. The company intends to defend its position through trial and if necessarily an appeal process. The remaining increase in SG&A was primarily due to an increase in employee compensation and fringe benefits related to the increased number of personnel to support our operations. SG&A as a percentage of revenues increased to 8.4% in the third quarter of 2013 compared to 6.3% in the third quarter of 2012. Excluding the legal reserve, SG&A would have been 7.4% of revenues in the third quarter of 2013. Third quarter 2013 EBITDA was $20.4 million compared to $20.7 million in the third quarter of 2012. Excluding the legal reserve, EBITDA would have been $22.7 million for the third quarter of 2013. Our provision for income taxes declined to $4.6 million in the third quarter of 2013 compared to $5 million in the same quarter of 2012. Our effective tax rate of 35.6% was 90 basis points below the 36.5% in the third quarter of 2012. The decline in effective rate is primarily caused by lower state taxes due to changes in the business mix between states and other discrete items. Third quarter 2013 net income was $8.3 million, or $0.38 per diluted share, compared to $8.7 million, or $0.42 per diluted share in the third quarter of 2012. Without the legal reserve, third quarter 2013 net income would have been $9.8 million, or $0.45 per diluted share. Shifting to our first 9 months results, revenues decreased 100 -- $103.1 million, or 13.7% to $648.1 million compared to $751.2 million for the first 9 months of 2012. The majority of the decrease was the result of lower material and subcontractor costs associated with large transmission projects. Our overall gross profit in the first 9 months of 2013 increased to $91 million from $85.7 million in the first 9 months of 2012. And our gross margin increased to 14% versus 11.4% in the first 9 months of 2012. The increase in both gross profit and gross margin in the first 9 months of 2013 was primarily due to better project execution, higher equipment utilization and the underlying mix of contract components, which included less material and subcontractor costs and more of the company's labor and equipment costs on a relative basis. EBITDA increased to $61.3 million for the first 9 months of 2013 compared to $58.4 million for the first 9 months of 2012. Meanwhile, the first 9 months 2013 net income increased to $24.7 million compared to net income of $24.5 million for the same period of 2012. Diluted earnings per share were $1.14 for the first 9 months of 2013 compared to $1.15 per diluted share for the first 9 months of 2012. Without the legal reserve, net income for the first 9 months of 2013 would have been $26.2 million, or $1.21 per diluted share. We invested $31.5 million in property, plant and equipment in the first 9 months of 2013 compared to $32.1 million in the first 9 months of 2012. We still expect 2013 capital spending to be similar to 2012 capital spending levels. Total backlog at September 30, 2013, was $444 million, consisting of $298 million in the T&D segment and $146 million in the C&I segment. Total backlog at September 30, 2013 decreased $30.5 million compared to the $474.5 million reported at June 30, 2013. T&D backlog decreased $60 million to 16.7% while C&I backlog increased $29.5 million, or 25.3%, compared to last quarter. Moving to the balance sheet, stockholders equity increased to $284.2 million at September 30, 2013, from $254.7 million at December 31, 2012. Return on equity for the last 12 months ended September 30, 2013 was 14.2% as compared to 14.5% for the prior year period. We believe ROE is one of the best overall financial measures because it relates the net income to the equity that shareholders have invested in our company. At September 30, 2013, we had approximately $62.9 million in cash and cash equivalents, no outstanding funded debt and $157.5 million in availability under our credit facility. Our cash balance increased $43.1 million from December 31, 2012, as cash from operating activities was partially offset by cash used in our continued investment in fleet, equipment and tooling. As of September 30, 2013, we had $17.5 million in letters of credit outstanding under the credit facility. We did not repurchase any shares in the first 9 months of 2013 under the $22.5 million share repurchase program, which expires on August 29, 2014. In conclusion, solid execution on our jobs resulted in higher gross profit and gross margin as a percentage for the third quarter of 2013. Excluding the impact of the legal reserve, net income, diluted earnings per share and EBITDA exceeded the same period last year. With our strong balance sheet, we believe we are well capitalized for continued organic growth, as well as for possible strategic acquisitions. I'll now turn the call over to Rick Swartz, our Chief Operating Officer, who will provide an overall industry outlook and our view for MYR's opportunities.
Richard S. Swartz: Thanks, Paul, and good morning, everyone. Throughout the third quarter, we focused business development and operational efforts on exploring opportunities in both new and existing markets. Our project teams continue to execute work and manage contracts, while our T&D and C&I estimating teams evaluated and bid on a steady flow of projects. As mentioned on our last call, although large project bidding activity has decreased compared to the levels experienced over the past several years, we remain optimistic that we will begin to see a nationwide increase in this area, beginning in 2014. Further, we anticipate that construction start dates on such projects will begin towards the end of 2014 and the beginning of 2015. The fundamental need for delivering renewable resources and increasing system reliability remain key catalysts for large transmission project activity. Meanwhile, bidding and construction activity for small- to medium-sized transmission construction projects and upgrades remains robust, and we expect this trend to continue. The activity in small- to medium-sized project is primarily due to reliability and economic drivers. In the third quarter, the EPA announced additional regulation standards that may further limit coal-fired generation plant construction in the U.S. We continue to believe that these regulations may force the retirement of coal-fired generation plants, which could require additional transmission-related projects to deliver power from new generation sources such as natural gas fire and renewable generation facilities. According to GenerationHub, coal generation retirements will be completed by the end of 2017 with a peak expected in 2015, the initial deadline for compliance with the EPA's Mercury Air Toxics Standards. In the third quarter, we saw increased activity and announcements related to the shift in the generation mix for many of our utility clients. Some of these announcements included the Ohio Power and Siting Board, stating that it has 29 active electric transmission cases before it, which represents $427 million in required new investments. We believe this is in response to some of the coal generation retirements that have been announced. PJM recently authorized $1.2 billion in upgrades and improvements to its region's electric transmission system. We believe this is in response to meeting the challenging impacts of storms such as Hurricane Sandy last year, as well as the ongoing shift of generation from coal to natural gas. In addition to these announcements, we continue to see an increase in proposed spending by others -- by other entities to help harden their power, delivery systems and prepare for future events such as what occurred during Hurricane Sandy. We have made note of several large transmission opportunities on previous calls that we continue to evaluate. Along with monitoring the progress of these large transmission projects and opportunities for small- to medium-sized projects, today, we'd like to provide more details surrounding potential growth opportunities for MYR Group in a few specific regions, including some regions where we have had limited or no historical presence. We continue to identify Texas as a strong region for growth, with ample opportunities for small to medium projects. We recently completed construction of the 235 mile, 345 kV Cross Texas Transmission or CTT project. The CTT project is part of CREZ, or the Competitive Renewable Energy Zone. We believe that our performance on this project will allow us to capitalize on additional opportunities related to small to medium-sized projects for interconnection and integration of renewable resources to the CREZ backbone, along with interconnections needed throughout the state. ERCOT remains in the early stages of evaluating required transmission needs for accommodating the substantial amount of wind generation that is projected to come on line in the Texas Panhandle. More than half of the wind interconnection requests or 11 gigawatts out of the total 21 gigawatts in ERCOT are in the Panhandle. Or, of the 11 gigawatts, nearly 3.5 gigawatts have already signed interconnection agreements that will require projects totaling 273 miles of new transmission line. While we see continued opportunity in Texas and the surrounding region, we also anticipate margin pressure as the resources from the CREZ buildout become available with the completion or near-completion of most of the CREZ projects. In California, there's a significant state-wide activity and viable opportunities driven by needs for expanding the State Renewable Portfolio Standard and ensuring system reliability. In response, we have focused business development and bidding efforts on clients and projects associated with these opportunities. The retirement of the San Onofre nuclear facility, along with the continued push to achieve a 33% Renewable Portfolio Standard by 2020 promotes the need for additional transmission, substation and distribution projects. Our presence in Nevada due to our performance on the ON Line project provides us with the established crews and personnel that will help position us well for growth within the region. In terms of new market expansion opportunities for MYR Group, we announced in September that we established district operations in Anchorage and Fairbanks, Alaska through acquiring equipment and hiring personnel from a local contractor. We believe the economic environment in Alaska could present favorable T&D bidding opportunities. We are also analyzing project opportunities in the Canadian transmission market, which appears to be entering a substantial growth phase over the next several years. Various data sources indicate that large project awards could exceeded $10 billion in Canada from 2014 to 2016. These projects are driven by a continued need for infrastructure to develop oil and gas assets, further development of hydropower, delivery to load centers and upgrades to provide reliability for an aging infrastructure. Although we are not currently operating in Canada, we have established legal entities for future operations. We believe there may be favorable bidding opportunities in the transmission market in the near and longer term. We continue to monitor several big picture events and trends that are impacting the industry such as the possible ITC-Entergy merger, the implementation of the FERC Order 1000 and its relation to the transmission build-out and the continued need to integrate a changing generation mix throughout the country. Turning to the distribution market, as we noted on our last call, we are seeing signs of recovery in the market after years of deferred spending. The primary focus by many of our clients over recent years has been on the repair, maintenance and construction of transmission-related assets, and we believe this focus will continue. However, we also believe that our utility clients will increase focus on the expansion, repair and maintenance of their distribution assets. On this front, several utilities are adding contractor crews to augment their internal operations and maintenance crews. Going forward, we believe that reliability mandates for utilities, as well as a push to harden utility assets against major storm-related damage should drive continued growth in the distribution market for MYR. In addition, we see an area of potential growth for distribution projects as the housing market recovers. Utility spending on upgrades and expansion of distribution systems is closely linked to the development of new housing, which has been increasing at a steady rate over the past year, but is still well below previous peak levels. We anticipate that the continued recovery in the housing sector will be a positive for our distribution services going forward. Shifting to our C&I business, we have noticed increased momentum in bidding activity in both our Colorado and Arizona markets in the third quarter, and thus far in the fourth quarter. Three main markets in Colorado, health care, data center and water treatment facilities, remain consistently strong. We're also seeing increased activity in educational facilities and high-rise residential and office constructions. The services we provide to education institutions and mining operations remain steady throughout Arizona, and we have begun to expand our capabilities in Colorado to pursue electrical work associated with the oil and gas industry as increased drilling and new plant construction are under way, especially throughout Northern Colorado. Smaller C&I opportunities have remained relatively flat for some time, but are just beginning to show signs of improvement in both Colorado and Arizona. Although competition in the C&I sector remains strong, we are one of the few electrical contractors in Colorado and Arizona with the expertise, experience, resources and the safety record to execute larger, more complex commercial and industrial projects. As an industry leader in this large project niche, we believe we are well positioned to win our fair share of these opportunities. We see ample opportunities for growth in both our existing markets, and those outside of our current geographical footprint. Our strong management, experienced operational teams and financial strength give us the tools we need to continue to expand our business over the next several years. Thanks to everyone for your time today. I will now turn the call back to Bill Koertner, who will provide us with some closing remarks.
William A. Koertner: Thank you for that update, Rick. We finished the quarter with no debt and a growing cash and equity position. This provides MYR the resources and financial strength to continue pursuing growth strategies on a variety of fronts. It gives us the resources needed to pursue additional organic growth opportunities in our existing markets. We already have one of the best fleets of specialty equipment in the industry. That said, we still have opportunities to invest in our fleet and tooling, which will further lower our cost structure, increase our competitive position, enable us to better serve our existing customers. These financial resources also allow MYR the flexibility to pursue opportunities like the Alaska asset purchase and possible expansion into Canada. In addition, it gives us the capital needed to consider acquisitions in other new geographic markets, as well as new end markets. MYR has not been a particularly acquisitive company in the last decade as most know. We intend to move forward cautiously as we evaluate acquisition opportunities for transactions that fit us best, those that we believe we can integrate successfully, and those that can be acquired at reasonable valuations. This is no small challenge today because there are a number of strategic buyers like MYR, and a number of financial players like private equity funds pursuing the same deals. All of us at least today have access to low-cost bank debt to fuel this activity. No one knows how long the Fed's easy monetary policy will continue. While we like to talk about equipment, markets and strategies, the real key to our success is our people and their commitment to serving our clients. We intend to further invest in the recruitment and training of good people at all level. MYR's people are already among the best in the industry, but we must get even better to keep that edge. We remain committed to growing MYR and creating long-term value for shareholders. On behalf of Paul, Rick and myself, I'd like to thank you for joining us on the call today and for your continued interest in MYR Group. I look forward to updating you on our progress next quarter. Operator, we are now ready for comments and questions.
Operator: [Operator Instructions] Our first question comes from the line of Tahira Afzal from KeyBanc.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: This is actually Saagar on for Tahira. First off, you guys had mentioned that the large transmission market has seen lumpiness in 2013, but activity levels should pick up in 2014. In addition, you mentioned small- to medium-sized project activity has remained robust. And then you mentioned different areas, geography-wise you are looking to grow in. That said, your bookings and book-to-bill on the transmission side have been lumpy also. Can you just talk us through what gives you confidence that book-to-bill can go above 1x sustainably going forward and when you see that happening?
William A. Koertner: We are confident that it will go above 1x, just based upon our marketing efforts as we talk to clients. We certainly are out on the road a lot talking to clients in various parts of the U.S. as well as north of the border. I believe there are going to be plenty of opportunities out there over the long-term. As you point out, it's lumpy, and we had a big run-up in our backlog in 2010, 2011. We've been busy trying to complete those projects, and we're aggressively looking for new projects. So I don't think there's going to be a shortage of projects when that's going to turn around. I can't predict that, but I can tell you, I would not be investing in the fleet assets for our company if I didn't feel there are going to be ample opportunities to put our existing fleet to work, as well as those new assets. So I don't have specifics, I just feel confident over the long term it will turn around.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: Okay. And then, Paul, you mentioned gross margins for the fourth quarter in the range of 13% to 14%. But then you had also had positive commentary on C&I activity levels being strong and distribution continuing to get better. So looking to 2014, do we see a mix shift starting to occur with your top line which could impact margins?
Paul J. Evans: No, I don't necessarily think so. I think the amount of transmission revenues, distribution revenues and C&I will move -- might move around slightly. I don't think it'll move to a level where, for instance, our C&I business overtakes our Transmission business. I mean, our core work -- transmission company first, distribution then C&I.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: Okay. And then last question on my end. Bill, you mentioned to my first question that you'll not be investing if you didn't see the growth opportunities out there. Is there a way to show us or tell us how much of your investment is going towards new equipment versus replacing all equipment?
William A. Koertner: I guess the thing I would do is obviously we're throwing off a significant amount of depreciation each quarter and compare that to the net plant additions. We're investing more in equipment than what our quarterly depreciation is. So it is a net increase. But how long that will continue, I don't know. But we are investing more than what our quarterly depreciation is. So that would be the way I'd look at it if I were in your shoes.
Operator: And our next question comes from line of Andrew Wittmann from Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: The color on the materials and subcontractor costs is extremely helpful, so thank you, Paul, for adding that into your reporting in these last few quarters. As you look at this, I want to understand some of the moving parts inside of it. On a year-over-year basis, you'd look like on a net gross margin for your Transmission and Distribution business based on that number, the margin would be down about 130 basis points. So you guys kind of talked about some of the factors why gross margins were up year-over-year on mix, but how do you reconcile the net margin being down? Was that a mix? Was it a weather issue? Was there a onetime charge? Last year was a tough comp. Can you give us a little bit more color as we look at the net margins in T&D business?
Paul J. Evans: I'll just say, Andy, I'm not totally tracking where you're coming from. I mean, certainly, margins continue to trend up. So I'm not really...
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: If you just look at the percentage of revenue as material subcontractor costs, if you take that out of the gross -- the revenue, the GAAP revenue that's reported and then come up with like a "net revenue" and look at the margins on that basis, clean of the pass-through costs in other words, margins would be slightly down on that basis. I'm just trying to reconcile if productivity is down or if it's just the project mix? Is there more challenging pricing? I guess, that's what I'm trying to get after there.
Paul J. Evans: Well, first I think you have to give me a chance to run your mathematics that way to draw a conclusion. But I mean what I've seen year-over-year is our labor hours continue to go up. Our fleet utilization remains at a high level. We continue to expand our fleet. The story what you've seen with pass-through is it has declined from a very high level to a more moderate level over this year. So I have to run that analysis, Andy, to give you some sort of a definitive answer.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's fine. The -- I guess, maybe Bill, you talked about the labor and the people being the underpinning of the business. Clearly, that's definitely the case. Do you feel like in today's market where there's not quite as many large projects as there were a couple of years ago, do you feel like you've got the foremen or the access to the really experienced labor that you need in a more competitive market for large projects today versus what was -- there's a lot more market opportunity a couple of years ago. Can you just talk about your senior craft labor talent pool and are you still looking to grow that to be even more competitive, more successful in the large-project arena?
William A. Koertner: Well, yes, maybe contrast that with 5 years ago before this transmission ramp up occurred, there were relatively few experienced foreman and construction managers that knew how to do a big transmission job, with all the work that we and several of our competitors have performed in the last 5 years, the skill level is much better than what it was 5 years ago. We're continuing to add those skills because it goes all the way from contract administration to equipment operators to general foremen. So we definitely have a stronger bench strength today than what we did 5 years ago. Labor is, as you know, a very regional kind of thing. The Texas market is different than the Minnesota market. And the market in Connecticut is different than the one in California. So not all of these skilled resources reside necessarily in the markets that are going to see the most robust expansion. So we like our competitors who are constantly looking for skilled people that are willing to move. And we've got a number of them that work for us today and have been very loyal to us. So as we explore new markets, that's a big key to our success is getting the skilled people to move with us to where the work is.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Great. If I could, just one final question, Bill, in the last -- I don't know -- a few months, few quarters, I think there's maybe been a little bit of more open candor about the potential to give guidance maybe in the future as we're next heading into the fourth quarter and year-end budgeting process. Is that something that investors should maybe potentially expect for '14 as guidance on the next conference call, especially considering the kind of the wide range of estimates that are currently out there in the street?
William A. Koertner: It is something we talk about, but I wouldn't anticipate a change.
Operator: And our next question comes from the line of Adam Thalhimer from BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Maybe I missed it, Paul, but did you -- how much were labor hours up in Q3, if you care to disclose that?
Paul J. Evans: I don't think we've ever put a percentage on that. Just made the statement that they were higher than they were in the same period last year.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And then what will be your early thoughts on 2014 in terms of labor hour growth, a potential thereof?
Paul J. Evans: I mean, as we look at our capital budget for 2014, we consider our total labor hours and the growth in the process of finalizing our capital budget for '14, so it's really hard for me to make that statement to you at this time.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. On C&I backlog growth, when do you think that starts to translate into revenue?
Paul J. Evans: Well, I mean, eventually obviously these projects that they come into our income statement. I guess, it'd be hard for me to say when that turns into revenue.
William A. Koertner: Adam, I think the C&I book of business has got some big projects and has some medium-sized projects and some smaller kind of service work. Certainly, if we pick up service work, it probably starts running through revenue the next month or maybe 2 months out. The bigger project from the point of which you receive the tentative award until you finalize it, you could be looking at 6, 8, 9 months before it starts to flow through revenue in a meaningful way.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Yes, I'm just looking at the past 6 quarters. You had really strong backlog growth in C&I. Revenues remained at this kind of $40 million, $45 million level, and I'm wondering when you might see $50 million in revenue or $55 million revenue based upon the backlog.
William A. Koertner: I don't really have any more to add. It takes time to get these projects ramped up and a lot of our C&I work just like on the T&D work, the awards are left before -- in many cases before the project is fully engineered. And it does take time for that backlog to end up translating into revenue.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. Last one for me, you mentioned you had an increase in demand for distribution crews, which is great. Just curious what the pricing is like on that early kind of increase in crew demand.
William A. Koertner: I would say pricing has firmed up. Of course, the distribution market gets overwhelmed with storm works. So I think you got to factor out periods like the last quarter of 2012 where that put -- it just skewed the numbers because distribution resources were all traveling to the storms. So if you had traditional work, bidding during that period, it kind of skewed itself. Let's say we're -- it's firmed up in kind of a normalized basis. So by the way I look at it is take a period of several years and consider that would be normal. So it has firmed up some.
Operator: And our next question comes from the line of Cory Mitchell from D.A. Davidson.
Cory Mitchell - D.A. Davidson & Co., Research Division: Just to drill down on CapEx plans for next year. Do you guys have a good idea on that? Do you maybe feel comfortable giving us a range?
Paul J. Evans: Cory, like I said to Adam, we're still finalizing our 2014 CapEx budget. So it's probably not the time to offer a range up today.
Cory Mitchell - D.A. Davidson & Co., Research Division: Okay. Well, maybe I'll ask it a different way, then. How much higher are maintenance requirements, given the new investments -- the recent investments you guys made?
Paul J. Evans: Well, I'll take you back to what Bill had mentioned on another question about maintenance CapEx versus growth CapEx. One measure you could use is sort of look at our total depreciation expense, which is trending in the high 20s for the year. Compare that to what we spend if you could sort of draw some conclusions that way. We will talk about 2014 capital spending plans at some point. It's just premature to talk about them today.
Cory Mitchell - D.A. Davidson & Co., Research Division: Okay, that's understandable. And then regarding possible acquisitions, are you guys looking for something similar to the asset purchases like NORCON, or do you just open to anything?
William A. Koertner: Well, we're not open to anything. We are trying to be disciplined with it. That I think was something that bid us well, we were able to buy it at a reasonable valuation, and it's the type of thing that we feel comfortable that we could integrate it. So the execution, if we have confidence that we can do the due diligence and if we feel we could integrate it without hurting the rest of our operation, those would be important criteria for us. We are looking at more opportunities and what we've looked at in the past and are trying to remain disciplined in how we go about evaluating them and how we price those acquisitions.
Cory Mitchell - D.A. Davidson & Co., Research Division: Okay, and then one more on Canada. What do you guys want to see there before you get more involved up there?
William A. Koertner: Well, I think we just want to see these projects come to fruition. Just like in the U.S., they have permitting issues and right-of-way-access issues. And it appears that the stars are aligned where a lot of these big projects to go forward. So we just -- they're not completed, but we're very confident a lot of them are going to happen, and we want to be a player.
Operator: And our next question comes from the line of Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Can just give us an update on what you saw in the quarter in terms of the CapX2020 and ITC V-plan projects? Did you pick up any additional work on those projects that went into backlog? And also, is there -- can you talk about how much remaining potential work is out there on those projects?
Richard S. Swartz: On the CapEx project, we picked up 2 additional segments on the project during the last quarter. There is another segment coming out on the CapEx project over the next couple of months. It will be awarded, so that's one more segment that will be out for bid on that section. And then on the ITC work, we continue to see future bid packages coming out, and we think we're well positioned on that one to capture that work.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: And I know you've been a little bit reticent to talk about your expectations for growth in '14, but maybe could you just comment on a couple of things. One, if there'll be much of a change in terms of the percentage of work coming from materials and subcontractors in '14 versus '13? And then your kind of high-level thoughts on small to medium transmission project market.
William A. Koertner: In terms of material, I think it's going to be more like '13, Noelle. There are a few situations where the owner is asking the contractor to provide materials. But I don't think it's going to be as prevalent as the jobs that were bid in 2010 and 2011. But we and others picked up. So I would say '13 would be more typical.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: And then any thoughts on the pace of the small to medium projects activity?
William A. Koertner: That has been strong, and we see that continuing to be strong. Whether it's going to accelerate further or not, I can't say. But it has been strong, and we expect it to stay strong.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay, and then one last question, you've heard from some of the other folks that plan and transmission, in some cases on more of the equipment supplier side, but you've heard a fair amount about some project shipping from -- flipping from the third quarter into the fourth quarter and early next year. What do you say that's consistent with what you're seeing in the market a bit of slippage on some of the -- on the time frame for some of these projects?
William A. Koertner: Yes, I'd say that's consistent with the way we look at it. Since I've been in my role, I've never seen a project accelerated. They either stay on track or they slip below. Just due to the nature of the challenges our clients face as far as permitting and getting everything done before they can put a shovel in the ground. So there has been some slippage but that's has gone on for decades.
Operator: And our next question comes from the line of Craig Irwin from Wedbush Securities.
Craig E. Irwin - Wedbush Securities Inc., Research Division: I wanted to ask for an update on your MSA work. Is this still roughly half of your total electric revenue, and is this growing consistent with what you're seeing in the distribution channel? Are you picking up additional volumes of work there, or additional man-hours with the growth in distribution that you're seeing?
William A. Koertner: Craig, let me answer the first part. I don't know if we've ever given out what MSA as a percentage of our overall revenues. I mean, we have quite a few MSA agreements in place. As you know, we only track 3 months of that in our backlog. But I don't think in my time we've ever given out that percentage.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Do you care to approximate it for us today?
William A. Koertner: What I will do is go back and take a look at it, but I wouldn't want to offer a percentage up today.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Okay. And then as far as the growth in activity under MSAs, are you seeing additional activity consistent with what you're seeing in the distribution market where your customers are increasing the necessary man-hours to meet the list of projects that they're putting in front of you?
Paul J. Evans: Yes, I guess, when we look at that, I see an increase in MSAs out for bid. I see the renewals of some of them coming in place and continuing. We do, as I said in -- while I was talking a while ago, we do see an increase in that market -- in that area so it is something that's remaining strong.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Excellent. Then just to talk a little bit about the CREZ work, so it's positive to hear your commentary in your prepared remarks there. Good to hear that there's additional work that you're going to be competitive for. What are we looking at as potential timing there? Is there something where we should expect awards before the middle of next year so that maybe we can replace some of the activity that you had from CTT, or is this something where there's still a decent amount of uncertainty as we look out into '14?
Paul J. Evans: I think we're hopeful on it, but the project still needs to come to fruition. I mean, as Bill said, he's never seen one advanced, he'd seen them either remain on schedule or pushed back a little. So as these total projects come to market, that we really have no control over that. So we've got some insight on when some of them are going to happen, but not all of them.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Okay. And then the SWIP project as well. Is there any follow-on work that you might be pursuing that you might be able to transition those crews over to something that provides a little bit of continuity for people in that geography? Or are these crews that maybe you'd be offering work in Canada too or in some of your other locations where you're seeing significant activity?
Richard S. Swartz: We're always looking for new opportunities as -- of where we can place our people. We've got places we can put these people. We've had the conversations with them, so we can move the key personnel to other projects. But in the West, we don't have one specific project outlined for these guys to just move straight on to today.
Operator: And our next question comes from the line of Stefan Neely from Avondale Partners.
Stefan Neely - Avondale Partners, LLC, Research Division: Quick question on Q3. Did you guys see any benefits from project closeouts during the quarter?
William A. Koertner: No.
Stefan Neely - Avondale Partners, LLC, Research Division: Okay. And then again kind of a follow-up question on the commentary for regional expansion into Canada, do you guys have any kind of timeline you're looking for there to be situated to win business?
William A. Koertner: There are some projects that are in the early stages of bidding that are recurring right now. Some will be bid in the winter, but it isn't -- these have fairly long planning periods. So even though the projects are being bid, and let's say in this quarter, it's not likely that the contractor or contractors that might be successful on them are going to see any revenues in the next 12 months. So they're very large projects with long planning periods and the owners are trying to line up, contract the resources early so they could integrate them into the preplanning of the job.
Stefan Neely - Avondale Partners, LLC, Research Division: Okay. All right, so you're not looking at any sort of time frame to be up there and expanded whether organically or via an acquisition at all?
William A. Koertner: No.
Operator: And our next question comes from the line of William Bremer from The Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Can we go into the bookings a little bit in C&D? Is it safe to assume that the pricing of those bookings are better than we've seen? Is it -- can we at least derive that?
Richard S. Swartz: I think it depends geographically. Where we're looking we've seen some pressures in a few markets and we've seen some increases in other markets, so it's geographically based.
William D. Bremer - Maxim Group LLC, Research Division: And what type of capacity utilization are we running out at that -- in transmission at this time?
William A. Koertner: Hopefully, on the labor side, we're running at 100% because I don't want anybody working or getting a paycheck that's not working. So I guess that question maybe relates more on the equipment utilization. Certainly, we try to keep our equipment working. And when we have available equipment, we're working hard to find a home for it so. And our equipment utilization, we have not put out any numbers on that, but it remains at strong levels.
Operator: And our next question is a follow-up from the line of Tahira Afzal from KeyBanc.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: It's Saagar on for Tahira again. Just had a quick follow-up question related to buybacks. As your share price and as your company on multiple levels traded a relative discount to some of its peers, when did the buyback start to look more attractive for you guys?
Paul J. Evans: Saagar, I mean, we have a prefiled plan in place right now. I mean we evaluated every quarter. Obviously, we haven't repurchased any shares to this point of the year, so during that period of evaluation, we didn't think it made sense to repurchase any shares. Now that might change in this quarter or in subsequent quarters.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: Okay. And is there, I mean -- what are the different metrics that you guys look at in determining that -- is there -- anymore color on that would be helpful.
William A. Koertner: I guess, I can add. You've indicated we trade at a discount. I'm not sure exactly which base you are looking at but there are a lot of ways to measure it if you look at measure like market to book. In that case, we've may trade at a premium to some of our peers. They look at it, there's a relationship to EBITDA or earnings per share. There are a lot of different ways to measure financial performance and market valuations. So we don't have just one that we think this is the magic measure. We look at them all and in some measures, we might look like we're trading at a discount. Other measures might it look like were trading at a premium.
Operator: And this concludes our question-and-answer session for today. I would like to turn the conference back over to the MYR Group for any concluding remarks.
William A. Koertner: Well, I appreciate everybody being on the call this quarter. We always find this rewarding from our end to hear what's on your mind and certainly appreciate your support covering our stock and investing in our stock. So with that said, I'll close the call and look forward to talking to you next quarter.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone have a good day.